Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good day and thank you for standing by and welcome to the Jack in the Box Incorporated Quarter 1 Earnings Call. At this time all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session. [Operator Instructions] And please be advised that this conference is being recorded. [Operator Instructions] 00:28 I would now like to hand the conference over to your speaker today, Mr. Chris Brandon, Vice President of Investor Relations. Sir, please go ahead.
Chris Brandon: 00:37 Thanks, very much and good morning, everyone. We appreciate you joining today's discussion, highlighting our first quarter 2022 results. Joining us today are Chief Executive Officer, Darin Harris; and Chief Financial Officer, Tim Mullany. Following their prepared remarks, we are happy to take some questions from our sell-side coverage analysts. 00:58 During our prepared remarks and the Q&A portion of today's call, we may refer to non-GAAP items. Please refer to the non-GAAP reconciliations provided in today's earnings release which is available on the Investor Relations website at jackinthebox.com. 01:15 We may also make forward-looking statements that reflect managements' current expectations for the future, which are based on current information and judgments. Actual results may differ materially from these expectations based on risks to the business. The Safe Harbor statement in today's news release and the cautionary statement in the company's most recent 10-K are considered a part of today's discussion. 01:41 Material risk factors, as well as information relating to company operations are detailed in our most recent 10-K, 10-Q, and other public documents filed with the SEC and are also available on the Investor Relations section of our website. 01:59 And with that out of the way, let’s get started. I will now turn the call over to our Chief Financial Officer, Tim Mullany.
Tim Mullany: 02:06 Thanks, Chris and good morning, everyone. We continue to make progress on our long-term strategic plan and delivered same store sales results of 13.7% on a two-year basis in the first quarter, despite a continued challenging operating environment. 02:22 We're working diligently with our operators and franchisees to mitigate the effect of inflation and labor pressures on our business and remain confident in our path to deliver best in class unit economics to fuel our growth strategy. 02:36 As I will discuss in a moment, we are well on track to achieve the long-term growth targets that we laid out on our Investor Day. We're also making steady progress toward closing our acquisition of Del Taco, and beginning the process of integrating our teams while working to identify and unlock meaningful synergies, as well as knowledge sharing initiatives. We will provide more insight into these efforts in the coming quarters. 03:02 Let's turn to some detail on our Q1 results and our start to 2022. We are very proud of our franchisees, operators, and restaurant managers who have navigated a tough environment to generate positive system-wide sales growth, led by a same store sales increase of 1.2%. This this growth can largely be attributed to price increases, in addition to an effective add-on strategy during the quarter. 03:29 Same store sales performance in Q1 was nevertheless pressured by limited hours of operation, due to labor shortages and some unusual weather impact in the Pacific Northwest. To mitigate the impacts due to the current inflationary environment, we increased pricing by 5.5% year-over-year within our company operated restaurants. This also allowed us to narrow the performance gap between our company operated and franchisee restaurants in the quarter. 03:58 Turning to earnings, we delivered diluted EPS of $1.85 for the first quarter with our operating EPS coming in at $1.97, just below flat when compared to a year ago. I'll provide additional context on our earnings performance in a moment. 04:17 In terms of future unit growth, the quarter was highlighted by the completion of 26 development agreements signed for 98 future restaurant openings, bringing total agreements to 50 and restaurant commitments to 201. This is the highest level of unit growth commitments in company history. 04:38 While the results of building our development pipeline have been robust and encouraging, we continue to make the needed efforts toward portfolio optimization, including the targeted closure of underperforming units. 04:50 In the first quarter, we closed 12 units while opening 2 for a net decrease of 10 units. While we knew this process would take some time, we are making great progress on getting the current store base where it needs to be for our growth strategies to take full shape. 05:07 As always, keep in mind that with the exception of naturally expiring franchise agreements, most of our closed locations continue to provide economics in the form of both royalty and rent contributions. 05:19 Overall, we remain confident that our growth strategy and focus on best-in-class financial fundamentals will enable us to reach 4% net unit growth in 2025 and have Jack in the Box in 40 states by the year 2030. 05:34 Turning to revenues. We reported $345 million, up approximately 1.8% year-over-year. This increase was largely due to the growth in system-wide sales and same store sales. For our company owned stores, which as a reminder, make up about 7% of total store count and less than 10% of system life sales. Restaurant level margin was 18.3%, driven by costs and labor pressures, as well as the impacts from our evolving markets, which we are working to refranchise. 06:08 Franchise level margin driven by 93% of our unit portfolio was up 0.4% from a year-ago, due to improved sales performance. SG&A expenses increased approximately $4.8 million, mostly due to COLI unfavourability and partially offset by a decrease in incentive compensation. 06:29 Our reported effective tax rate was 26.5% for the quarter, as compared to 25.1% in the first quarter a year ago. This was primarily due to the non-deductible COLI losses in the current year versus non-taxable gains in the prior year. Combining all of these elements, net earnings decreased to $39.3 million and adjusted EBITDA was just over $91 million in the first quarter. 06:56 Shifting to cash, our economic model remains resilient as it continued to generate attractive free cash flow in the first quarter. We generated free cash flow of approximately $24.7 million and spent approximately $9.4 million on CapEx, primarily toward lease right of first refusal transactions, maintenance, remodel and refresh of company operated restaurants, and digital and technology initiatives. 07:21 In terms of our capital allocation, at the beginning of the second quarter, we were able to take advantage of the favorable interest rate environment to repay in full a tranche of the company's existing 2019 senior secured notes and to fund a portion of the company's acquisition of Del Taco. 07:40 Our $200 million buyback authorization remains in place and will continue to view share buybacks as part of our total shareholder return strategy and will likely revisit this approach in the back half of 2022. Our board also recently declared a quarterly dividend of $0.44 per share, which will return approximately $9.3 million to shareholders and will be paid out during Q2. 08:06 I'd like to quickly touch base on the addition of Nashville to our evolving markets, joining Oregon, Kansas, and Oklahoma, as markets that we intend to refranchise in the near future. The effect on restaurant level margin from these markets is temporary and we quantify their impact at 200 basis points to 250 basis points until the exit the company operated restaurant portfolio. 08:27 In closing, and before I turn it over to Darin, I'd like to provide some perspective on a Del Taco transaction and how it fits into our overall financial outlook. As we discussed when we announced this transaction in December, adding Del Taco is an opportunity to scale our business, improve profitability, and share best practices, while strengthening our capital structure. 08:49 We believe that this transaction is particularly critical in the current environment, as it will provide us operating and financial synergies that will help mitigate some of the macroeconomic headwinds we are facing. 09:03 As we continue to work through our integration planning, we continue to be excited about the opportunities that this transaction will provide and the possibility of exceeding our previous target of $15 million in run rate synergies. We will provide further updates on this and other aspects of integration upon deal close. 09:22 To wrap up, we are very pleased with our start to 2022, and how the business managed despite a backdrop of inflationary headwinds and labor challenges, while delivering strong sales performance and record setting growth in our new unit development pipeline. 09:38 Thank you again for joining the call today, and now I'll turn it over to Darin.
Darin Harris : 09:43 Thank you, Tim, and good morning, everyone. As we begin another year, I'm extremely proud of the work our team, franchisees, and operators are doing to deliver for our guests, as well as our shareholders, despite the industry headwinds, due mostly to the ongoing challenges from COVID. 10:02 Their resilience and dedication enabled us to grow same store sales, while making strong progress on our strategic foundation and four pillars. I have seen during the past year-and-a-half, many instances where our scrappy challenger brand mentality and cultures truly competitive advantage. But have particularly noticed it of recent, as our team's ability to take on these headwinds with passion and tenacity has been on full display. 10:34 Now, before I reflect on our results and progress within our strategy, I want to expand upon Tim's commentary in terms of the state of the industry and how we see it impacting our business and our guests. In November, we signaled what the rest of the industry is now seeing, namely that inflation and labor pressures were going to have an impact on Jack in the Box and our peers in 2022. This last quarter is demonstrated for most in the industry that these cost pressures are real, and may take longer to overcome. 11:10 Let's touch on COVID. We were experiencing positive trends in staffing and top line sales performance until the onset of Omicron, which temporarily reversed some of these trends and limited operating hours across many of our restaurants. Like others in the industry have noted, we are seeing improvement coinciding with the rapid decline of Omicron. 11:35 We're not alone in navigating these challenges and most in the industry are using prices one lever to manage through the inflationary and wage pressures. I do believe we have opportunity within pricing, but more importantly, and something that differentiates us is the promotional strategy we have executed since establishing our crave marketing approach. 11:58 In essence, creating upsell and add-on opportunities with our wide variety of craveable menu items, which is certainly a more sustainable way to grow average check over the long-term. We’re taking a disciplined approach to pricing, keeping both the short-term needs and long-term objectives of the business in mind. 12:20 Both our company operators and franchisees are seeing that their guests remain quite loyal even with our increased pricing activity during the quarter, which is a good sign. Keep in mind that our significant pricing action didn't take place until the end of Q1 in January. 12:40 The side that focus on up upsell add-ons as part of a promotion, we believe there continues to be opportunities to take a surgical approach to price increases within our core menu. Combined with menu innovation, we are in a unique position with multiple levers to pull related to price. 13:00 Shifting toward our results for the quarter, our same store sales remained solid and grew on a two-year basis by 13.7%. Although limited hours impacted our same store sales, our performance shows that our topline drivers remain in great shape. Even as we await the opportunity to consistently execute our strategy across all five of our day parts, which as you know is part of what makes the guest experience at Jack special and we'll reignite our ability to dominate the late night day part. 13:35 I remain confident in our potential to drive a balance of ticket and traffic in a more normalized operating environment. Our ability to sell value and premium items concurrently offer upsell and add-on platform due to our unique menu variety and bring more new customers into the Jack experience via digital are meaningful ways we are positioned to drive balanced comp results. 14:00 Now, we'll turn to our performance across our four strategic pillars as our teams continue to make strong progress against our strategic objectives and roadmap to results, beginning with building brand loyalty. Our updated brand positioning and crave marketing strategy continue to resonate with our guests. 14:20 From a product and promotional standpoint, it was a strong quarter for our burger category, including the Cheddar Loaded Cheeseburger and our Ultimate burger platform, which led the way in terms of sales contribution. 14:33 I would also note the strong performance from our Tiny Taco Big Box platform, a great example of packaging and platform innovation using current items. And it was just another way to utilize our add-on strategy that positively impacts ticket beyond just raising price. 14:52 We continue to grow our e-commerce platform and digital capabilities, building on our strong progress in 2021 during which we achieved a 90.6% increase. We grew digital sales by 38% in Q1 and 271% since two years ago, when we started focusing on this aspect of the business. 15:14 Our digital channels now make up nearly 10% of all sales and our digital database has grown 52% since a year ago. Loyalty is off to a great start in its first year, and it continues to help drive our digital growth. 15:32 Over 95% of our mobile orders are coming from guests who are Jack Pack Rewards members, and we are pleased that our existing digital customers are seeing value in the program. 15:42 While we are only a couple of quarters in since the launch, we look forward to providing more detail around active member growth and how it is impacting customer behavior in the near future. 15:54 I'm also pleased to announce that in quarter two, we will expand loyalty beyond just our mobile app by launching our in-store Jack Pack Program. In addition, we will be launching our first ever web ordering platform and an entirely new mobile web experience later this year. These additions will immediately help make online ordering and the Jack Pack Rewards Program significantly more accessible to our guests. 16:20 Turning to our next pillar, driving operational excellence. We are taking labor and staffing challenges head on, implementing and testing everything from increased pay to automation, enhanced training to local market activation, all in the effort of attracting and retaining talented people to work at Jack in the Box. 16:39 Building a top end-store culture within QSR and providing a place people genuinely want to work is our focus. We will also provide them opportunities for development and career advancement. We are committed to helping our members and managers break out of the box and reach their full potential. This has always been a part of the Jack in the Box culture as most of our franchisees started out by working in one of our restaurants. 17:06 We are focused on three main actions of operational improvement. The rollout of our new guest experience systems and brand standards that enables us to significantly raise the bar on the expectation we place on ourselves, and servicing our guests, improving the image of our restaurants. Recently, we made our new re-image and remodel program available to our franchisees. We will certainly update you on the progress of this important initiative. 17:36 And lastly, and already underway is strengthening our training infrastructure, which includes online training, above restaurant level training, certified training restaurants, and new restaurant opening support. 17:51 Our third pillar growing restaurant profits has certainly been a focus point for our operator experience management team. We continue to work with our franchisees on ways to manage the macro pressures we are facing, but most importantly, ways to maximize profitability for the long-term. 18:09 We have invested in an operations services team that is laser focused on innovating processes, equipment, and technology to drive out cost and simplify operational tasks. As you heard from us this past December, our record setting year of store level economics highlighted by our 20% increase in store level EBITDA supports our franchisees and their efforts to navigate industry margin pressures, and positions them well for future growth. 18:43 And this is a nice segue to our final pillar. Expanding Jack's reach. Tim mentioned our development agreement signed in quarter one, and I'm thrilled that in such a short time since launch of the program, we already have commitments for 201 restaurants from our existing franchisees. The strong pace and enthusiasm from our franchisees has me very encouraged about our ability to maximize our long-term growth potential. 19:09 And that both the realignment of our relationship and our shared emphasis on finding ways to improve store level ROI and profitability, are beginning to pave the way toward our goal of 4% restaurant growth by 2025. And let me assure you this is only the beginning. 19:27 Before closing, I'd like to discuss a few thoughts on Del Taco as we find ourselves closer to deal completion. As I said when we announced this transaction in December, the key reason we are excited to bring Del Taco into the Jack family is the perfect fit of business model, geography, customer base, and culture. 19:46 Through this transaction, both brands will be able to evolve within many strategic areas faster together than apart. We are confident there will be synergies, opportunities to scale technology, execute on a common growth strategy, and benefit from knowledge sharing. 20:05 Scales certainly helps through short-term pressures, but more importantly, will help our long-term efforts to position both Del Taco and Jack in the Box franchisees for even more success in terms of restaurant margins, store level profitability and taking more share every day from the competition. 20:25 Over the last several weeks, we have been working closely with the Del Taco team to develop a thoughtful plan to bring our businesses together. Through this integration process, I've gained even more respect for their team, culture, and dedication to providing guests with great food and exceptional experiences. And together, I believe we will create an organization that is a force within the industry. 20:50 In closing, I want to reiterate how grateful and appreciative I am for our franchisees and corporate operators and their relentless dedication towards serving our guests. While we may face headwinds and while we may not be able to predict the future, I can say with full confidence, we will control what we can control, rise to the challenge and continue to make progress on the long-term strategy that will evolve our business, our brand, and will bring Jack to places we haven't been before. 20:50 We appreciate you joining us today, and we’re happy to take your questions.
Operator: 21:28 Thank you. [Operator Instructions] Brian Bittner, your line is now open. You may ask your question.
Brian Bittner: 22:02 Thank you. Good morning, Darin and Tim. Jack’s improving unit growth story is a proven story in the eyes of the investment community and I think you guys realize that and you've made major strides in the first quarter with these development agreements, 98 restaurants doubling your pipeline to 200, can you just talk about these 1Q commitment wins and how they line up against your expectations as you walk this path towards the 4% net unit growth goals that you’ve laid out? And maybe help us understand the timeframe of how these commitments transform into shovels in the ground. And the follow-up to that is just these wins are coming at a time where you're still dealing with elevated net closings. Can you maybe explain how much longer we should anticipate this net closing dynamic to persist for the financial model? Thanks.
Darin Harris: 23:00 Brian, thank you for the question. It's good to hear from you. Let's start with the growth. We are incredibly excited by what we've accomplished with 26 development agreements for another 98 restaurants. As we've said on previous calls, those are split over about a 3 year to 4 year period. So, they're evenly balanced as we sign with our existing franchisees. And we're confident based upon the increased activity of our real estate team working with franchisees going out into the market and really driving sites into the process, which we don't provide guidance around, that this pipeline is rapidly increasing and that we start to see this really start to turn into 2023 to unit growth story, leading to our 4% growth by 2025. 23:47 So, it's all happening as we've . The pace is picking up from a development activity standpoint, and this is just with our existing base. We're still out talking to new franchisees as well, and increasing that pipeline. As it relates to closures, we've mentioned this before, but we're continuing do the tough work around optimizing our portfolio and preparing for growth. The store closures that we had in this quarter we knew we're coming, we budgeted it, many of them were related to the St. Louis issue, six of the closures. So, most of these were things that we anticipated and prepared for, and we'll continue to optimize the portfolio throughout this year as we focus on moving to that 4% growth rate by 2025.
Tim Mullany: 24:37 Yes. And Brian, I’d just add to that deal. On the closures, we continue to receive economics on those. So, as they close, we'll record that, but also these units typically have fairly low average unit volumes, and because of that the extent that they have sandwich leases, what we ended up receiving from those is fairly minimal to begin with. So, the loss here is negligible as we close.
Brian Bittner: 25:03 Great. Thank you.
Operator: 25:06 Thank you. The next question comes from the line of Brian Mullan of Deutsche Bank. Your line is now open. You may ask your question.
Brian Mullan: 25:15 Hey, thank you. Just a question on the pending Del Taco acquisition. Specifically around the a potential refranchising process, in addition to perhaps receiving some in-bounds from your existing franchisees, which we heard a few months ago, Is there any work you've been able to do ahead of time, position yourself to execute on refranchising opportunities once the deal closes? So, and if you could just speak to your desire to move fast and your ability to move fast, if you choose to do so? Thank you.
Tim Mullany: 25:45 Yes. So, we're currently in the process of obviously closing a transaction. We're mindful of done jumping sensitivities in consideration. So, the amount of tangible work that we're able to do in setting refranchising strategy for Del Taco is fairly limited until we close. We expect to close in the second week or so of March. 26:06 However, having said that, we do obviously just like with Jack in the Box with Del Taco, we see refranchising as an opportunity a tool to be evaluated that could be a meaningful addition to our strategic plan.
Darin Harris: 26:19 Yes, to add to what Tim mentioned, Brian. We see the opportunity for the strategy refranchising that was part of the strategic approach that we took when we bought Del Taco. We've obviously as part of our due diligence looked at the portfolio, looked at where we think there's opportunity within our system. 26:39 We haven't had a chance yet to meet their franchisees and see where there's opportunity within their system. And then we also know that there's plenty of interest from outside the Jack in the Box system expressing both interest and Jack in the Box and Del Taco. So, we know that refranchising is part of the strategy. We’ve done some work, but we're not in a position where we can talk openly about it, until post the transaction.
Brian Mullan: 27:02 Thank you.
Operator: 27:06 Thank you. The next question comes from the line of Gregory Francfort. Your line is open. You may ask your question.
Gregory Francfort: 27:13 Hey. Thanks for the question. Can you maybe, I think you talked a little bit about the company store pricing, can you talk about where the franchisees stand? And maybe do you feel you're in a good spot right now in terms of pricing or you might take more in the coming months to kind of protect the margins where they stand? Thanks.
Tim Mullany: 27:31 Sure. Thanks Greg. So, for company store pricing in Q1, we took 5.5%, that was a very deliberate increase in previous quarterly price takes. So, in Q4 you'll recall, we took 3.9% in preceding quarters to that we were in the mid-to-low 3s. So, we expect that we're going to have that as a tool and an opportunity for us to mitigate some of these inflationary headwinds going forward on a company side. 27:58 The franchisees, we haven't disclosed the specific price take percentage on that, but they maintained a sizable increase over our company price takes. So, they're also using that as a tool to offset wage and commodity pressures.
Darin Harris: 28:19 The other thing I would add to what Tim mentioned is that, a lot of the company price increase didn't take full effect until January. So, we're not getting the benefit of that in this – much of the benefit of that in these quarterly results, on the company stores. So, roughly, 2% to 2.5% was November, the remaining part was in January. So, we'll start to see that kick-in into the second quarter.
Gregory Francfort: 28:48 Thanks.
Operator: 28:50 Thank you. The next question we have in the line of Nick Setyan of Wedbush Securities. Your line is now open. You may ask your question.
Nick Setyan: 28:58 Thank you. Just have a follow-up. So, what will the pricing be in [indiscernible] the all-on pricing?
Tim Mullany: 29:07 We're going to continue with our original guide of high single digits for the fiscal year. And as Darin mentioned, with the price tick that we took at the end of Q1 we'll start to see that gearing up in Q2 is what we expect.
Nick Setyan: 29:21 Got it. And can you just maybe help us quantify or identify the Omicron impacts within the quarter in terms of the comp impact, and I know you guys did a pretty good job of quantifying the staffing headwind, the supply chain headwind last quarter, anything in line with that would be very, very helpful? And then any kind of, sort of quarter-to-date trajectory around post Omicron normalization would also be very helpful.
Tim Mullany: 29:58 We saw the impact fairly similar to what we saw last quarter. And note that, our Q1 has four periods. So, unlike most of our industry peer grouping, we saw or incurred a greater proportionality of that Omicron impact in our quarterly results than many others have, but we did see something very consistent with prior quarters. 30:25 We also saw that dining rooms received it a little bit, so we had fewer dining rooms open this quarter than last quarter as a result of Omicron. But we also saw those behaviors mitigate somewhat towards the end of the quarter and start to recover. So, we have an optimistic view of that in Q2.
Darin Harris: 30:47 To add to Tim's comments, through the first three periods, we were – sales momentum was tremendous and gaining ground. And then with our period four as Omicron spiked, we felt the same thing the rest of the industry did, which was limitation on our day parts and hours. And we're now starting to see those trends change as Omicron has declined and it's correlating with the decline in Omicron that we're seeing stores come back online. So, the good news is that the trends are improving since Omicron.
Nick Setyan: 31:29 Thank you.
Operator: 31:32 Thank you. We have the next question comes from the line of Jared Garber of Goldman Sachs. Your line is now open. You may ask your question.
Jared Garber: 31:40 Hi. Thanks for the question. Darin and Tim, you talked a little bit about the impact from the required units from franchisees, I think there maybe 30 or a handful above 30 in the company-owned base now and there was a little bit more of a productivity drag in the quarter that we saw versus the expectations, I think partially based on that. And then you also noted the 200 basis points to 250 basis points of margin drag from those acquired. So, can you just talk about, I guess two things. One would be, sort of the AUV basis of those acquired units, including those nine that you just acquired in the Nashville area, how we should be thinking about the productivity of the company store revenues? And then also what's the right baseline to base that 200 basis point to 250 basis point margin drag? And then finally just kind of how do you think about refranchising those units over time?
Tim Mullany: 32:36 Thanks Jared. High level on the beginning part of your question there. So, we did report an 18.3% restaurant level margin for our portfolio. And we noted that there was a 230 basis point impact on the evolving markets portfolio and that excludes the Nashville stores that came into that. So, we're guiding roughly a drag of 200 basis points to 250 basis points in that portfolio that you could pro forma out that 18.3 on top of, which gets us back in-line with some historical margin figures in range of that. 33:11 So, typically these volume markets as you can imagine have a lower AUV’s than the average remainder of our restaurant company-owned portfolio. And we're actively obviously focusing on labor as a primary margin driver to improve restricted hours in those markets. It increased the [ROM portfolio] [ph]?
Darin Harris: 33:34 Yes, what we'll also do to add to what Tim said is, we're actively refranchising a portion of these markets now. We don't have timing, we won't provide guidance around timing, but we're actively refranchising them and also what we saw when we took over units, one of the markets was underperforming from an operational standpoint. 33:55 Another market was what we found in both the markets in part of the operational challenges, it was just staffing. And so, our corporate team has really been active on increasing staffing and training the restaurants and we've already seen improvement in both Oregon and Nashville as a result.
Jared Garber: 34:16 Great, thanks. And is the idea to refinance those markets to one operate one franchise operator then with the intent to grow that market thereafter?
Darin Harris: 34:26 Yes, our goal is to utilize refranchising for growth using multiple operators.
Jared Garber: 34:31 Great. Thank you.
Operator: 34:35 Thank you. We have the next question comes from the line of Dennis Geiger of UBS. Your line is now open. You may ask your question.
Dennis Geiger: 34:42 Thanks for the question. Just wondering if the full-year 2022 guidance that you previously provided around restaurant margins and some of the key inflation targets, if that's generally still, sort of the right way to think about the year recognizing that there are some moving pieces and appreciate the color on the units that were temporarily bought back in, but just curious if you could touch on, kind of any updates to those previous targets, if there are any? Thank you.
Darin Harris: 35:13 At this point, we give our guidance in November and we updated in May. We'll have a better read as we get into the year, but right now, we're not making any adjustments to guidance. As we navigate the headwinds and we understand what's happening with headwinds also, our pricing ability will decide if that's needed by May.
Dennis Geiger: 35:40 Thank you.
Operator: 35:43 Thank you. We have the next question from the line of Alex Slagle of Jefferies. Your line is now open. You may ask your question.
Alex Slagle: 35:51 Thanks. Good morning. Wondered if you could comment on any subtle changes you're seeing in the underlying consumer behavior, how they're trading up or any cases you've seen [indiscernible] any particular consumer type specifically what the rising gas prices here, especially in California or the inflationary pressures really, but just anything you're seeing?
Darin Harris: 36:16 Yeah. I think the biggest thing for those of us in industry that we're seeing is what is considered the value consumer and what's the price point that you would notice being that value play consumer because everybody's raising prices pretty aggressively. So, I think that's the part we're all trying to get our head around is what is now value? Is it $5, is it $6, is $7, and how do we continue to improve our pricing power? 36:40 For us, we stated multiple times that our strategy is working with both the customers that we've segmented. We’ve talked about some higher end customers along with our core base. And the strategy that we've proven is that, have a very strong promotional offering with add-on and upsell opportunities and we’ve seen that work and we will continue to do that and focus on that. And it's working for us as a competitive differentiation in the industry.
Operator: 37:15 Thank you. We have the next question come from the line of Chris O'Cull of Stifel. Your line is now open. You may ask your question.
Chris O'Cull: 37:25 Hi. Thank you guys for taking my question, which relates to transaction performance. Biomass transaction that company locations are down about 17% to pre-COVID levels. Is this primarily a loss of dining room traffic and do you think the drive-through is capable of generating the throughput to recover those transactions?
Tim Mullany: 37:48 Yes thanks, Chris. We don't disclose the transaction trends and behaviors. I think we're pleased this quarter with our overall two-year stack same-store sales performance coming in where it did along with our quarterly 1.2% same store sales. 38:03 We're also seeing some impressive growth in our loyalty base as a sales vehicle and how we look at transaction. So, our loyalty program was up 68% this quarter, now we have over $1.4 million members in that bucket. 38:17 And those members from a behavioral point of view have a transaction frequency that's almost double the rate of our typical in-store guest. So, we're really leaning in on those digital channels and are pleased with the performance to date.
Chris O'Cull: 38:31 Okay. Thank you.
Operator: 38:34 Thank you. We have the next question comes from the line of David Tarantino of Baird. Your line is now open. You may ask you question.
David Tarantino : 38:42 Hi, good morning. I had a question on your commentary around the synergies for Del Taco. And I think Tim, you said that the synergies would help you to mitigate some of the macro pressures, and I just wanted to ask you to clarify what you meant by that statement, and whether you expect those synergies to flow through to profitability or do you see them being an offset to some of the cost pressures that you might have in the business, netting to something lower than that? Thanks.
Tim Mullany: 39:19 Sure. Thanks, David. Yeah. Absolutely. We're actively working our business unit leaders here along with the in-consulting as an outside advisor in the integration process. And clearly part of this acquisition when we looked at synergies was both in short and medium-term identify economies of scale, and particularly in supply chain channels, distribution, digital construction outside of the P&L. 39:46 So there's quite a few areas where we see meaningful opportunity, given the complementary nature of the two brands in both menu and geographical overlay. So that 15 million that we initially guided towards as targeted synergies is a run rate. So, that's not something that we anticipate to achieve overnight, but within two years, we expect to get there, but we do think that there is meaningful opportunities across a broad range of functionalities.
David Tarantino: 40:19 And just to clarify, is that something you expect to flow through to earnings fully or do you think there'll be some cost offsets to that? So, you would add to that a smaller benefit or a different benefit than that on your earnings?
Tim Mullany: 40:34 Yeah, it depends on the type of synergies. So, if we look at, for example, supply chain, just to provide one that we would expect that to flow through to restaurant level margin. We're also looking at, clearly others, sort cost synergies within digital and ops and other areas, but in addition to that, we're identifying some top line sales driving synergies as well that we would expect to flow through. So, I would say a majority of these would primarily flow through the bottom line. And we'll have more to come on that as we get further along in the integration process.
David Tarantino: 41:08 Great. Thank you.
Operator: 41:12 Thank you. We have the next question that comes from the line of John Glass of Morgan Stanley. Your line is open. You may ask your question.
John Glass: 41:19 Thanks. Good morning. Just going back to pricing for a moment, I think symbol math – my math would suggest pricing might be running like north of 9%, if you take the two price increases, so maybe correct me if that's wrong. Aside from looking at traffic in near term, how do you know that's not too much? Do you have like real time tracking of value scores and if you do, like what is that telling you specifically, because that would seem still higher than some of your competitors at least on a national basis, but maybe it's different in your local markets? And then just finally, I think in the past you've provided maybe the average check size and absolute dollars and number of items per order, if you had that for this quarter that would be helpful as well. Thanks.
Tim Mullany: 42:00 Yes, we're comfortable at the price state that we've taken. We feel it's in-line with inflationary headwinds on the commodity and labor side. We think we do actually have more room to go on that should we need to, but we're still in-line with our original guidance of high single digits. Relative to average check size, we're just under approaching $12 in average check. So, we've seen growth there. 42:25 Our average number of items per check has held comps in steady. So that's been encouraging that we haven't seen any degradation of that as we've taken price. Relative to the transactions, there's always sensitivity to that, but so far, what we've seen has been pretty much in-line with our expectations and our modeling for price sensitive trends. 42:47 So there hasn't been any adverse indications that we should back off of our approach and strategy towards taking price in FY 2022.
John Glass: 42:54 And I guess, my question was, how do you know you've got that? What is the evidence I guess you have on that pricing part? What’s the data that informs, that was the question?
Darin Harris: 43:01 Yeah, we're constantly doing research and data driven approach to our pricing models. And so, we're looking at how consumers are responding to our market research. We do it through an outsourced pricing authority and we're working hand in hand with our franchisees and what they're seeing in their market. So, take a three-legged stool approach to this.
John Glass: 43:25 Got it. Thank you.
Operator: 43:29 Thank you. We have the next question come from the line of Jeffrey Bernstein of Barclays. Your line is now open. You may ask your question.
Jeffrey Bernstein: 43:37 Great. Thank you very much. My question is on development. You mentioned ramping up the development pipeline. Just wondering if you can share any color on typical terms of agreements, whether you're offering any incentives to accelerate that growth and maybe what's the greatest hurdle or challenge to achieving that acceleration in unit growth? Whether it's near-term inflation or real estate availability, or maybe brand recognition in new markets just trying to gauge the incentives if you are providing if any, and what could be the greatest hurdles to that acceleration target? Thank you.
Darin Harris: 44:15 Yes, I'll let Tim address the incentives. We've had the incentives in our FTD for the last few years. So, it's been the standard incentive that we've offered. As far as challenges, I think the biggest thing is, we've been out working with our existing franchisees, working hand in hand and we've used data to map every market. And now the focus is about really driving sites into the pipeline. 44:45 We've seen a really rapid increase, which we're not providing guidance on, but an increase in our site approvals within the organization. I think the challenge that we've seen is many brands have reported their challenge with getting equipment and supply related to whether it's HVAC or other items to complete the build process. That's happening just like supply challenges across all industries. 45:11 So, what we've done to offset that is, we've used our balance sheet to pre-order a lot of the items to be prepared for this coming growth so that it doesn't hamper our ability to meet our objectives from a gross standpoint in 2023 and beyond.
Operator: 45:32 Thank you. We have the next question come from the line of Lauren Silberman of Credit Suisse. Your line is now open. You may ask your question.
Lauren Silberman: 45:43 Thank you very much for the question. In the queue, I think that mix for company restaurants was down 2% for the quarter, can you talk about what’s driving a little bit of the negative mix shift in your expectation for mix for the rest of the year?
Tim Mullany: 46:00 Can you repeat part of that question? I heard the second half of it. What was the first part, about mix shift?
Lauren Silberman: 46:06 Sure. I think that mix for company restaurants in the queue was down 2% for the quarter. So, just wanted to know, if you could talk about what’s driving some of that?
Darin Harris: 46:18 You mean, as it relates to franchise sales versus company sales?
Lauren Silberman: 46:23 Sorry, I think that it was average check was 3.5%, so if you have company, if you have price effect in 0.8% then mix would be negative 2.
Tim Mullany: 46:35 Lauren, you are talking about the mix within the company-owned comp of taking traffic?
Lauren Silberman: 46:47 Within average check being price and mix?
Darin Harris: 47:01 I don't want to provide something that's inaccurate, but I think the shift is somewhat really to operating hours. And some of the company-owned stores are specifically those evolving markets, but we'll handle that offline.
Lauren Silberman: 47:16 All right. Thank you very much.
Operator: 47:21 Thank you. And we have the last question come from the line of Andrew Charles of Cowen. Your line is now open. You may ask your questions.
Unidentified Analyst: 47:30 Hey, thanks guys. This is actually [Brian] [ph] on for Andrew. And just had a follow-up to one of the last couple of questions here. We were pretty encouraged by the acceleration in development agreements. And I guess just within those – do you guys talk a little bit more about the availability of drive-through sites versus let's say a quarter ago, I guess say the efforts to make the footprint a little more flexible than paying off there?
Tim Mullany: 47:57 Yes. Our drive-through’s have been unaffected, completely unaffected and we've been taking an increasing proportionality of our volumes through the drive-through and off premises and part of that's also being aided by our digital initiatives as well. So, we've been pleased with at performance, and that's been obviously a competitive advantage for us relative to the industry in general.
Darin Harris: 48:18 And at this point, as far as sites, we're still seeing an increased level of sites being submitted into our real estate pipeline. So, we have not seen it, the lack of drive-through sites or that concern [can't for our] [ph] development. We've seen plenty of sites coming into the pipeline, all having drive-through ability.
Unidentified Analyst: 48:45 Great. Thanks guys.
Operator: 48:49 Thank you. And there are no further questions at this time. I would now like to turn the call over back to Mr. Darin Harris, Chief Executive Officer. Sir?
Darin Harris : 48:58 We appreciate your time today. We were encouraged by this quarter and the results we’re having in the momentum we continue to see in the Jack in the Box business. So, we look forward to talking to you further, and thank you for your time today.
Operator: 49:13 Thank you. Ladies and gentlemen, that concludes today's conference call. Thank you all participating. You may now disconnect.